Operator: Good afternoon everyone. My name is -- and I'll be your Conference Operator for today. At this time I'd like to welcome everyone to today's Cvent's First Quarter 2022 Earnings Conference Call. Today's conference is being recorded, all lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question-and-answer session. [Operator Instructions] At this time for opening remarks, I'd like to turn the conference over to April Seed, Investor Relations. Please go ahead, ma'am.
April Seed : Good afternoon, and thank you for joining us on today's conference call to discuss the financial results for Cvent's first quarter 2022. With me on today's call are Reggie Aggarwal, Cvent's Founder and Chief Executive Officer, and Billy Newman, Cvent's Chief Financial Officer. During today's call, we will review our financial results for both the first quarter of 2022 and discuss our guidance for the second quarter and full year of 2022. In addition, our earnings press release, SEC filings, and a replay of today's call can be found on our investor relations website at investors. cvent.com. Today's call will include forward-looking statements which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, including but not limited to statements regarding our financial outlook, including our guidance for the second quarter and full year 2022, our market opportunity, market division, product strategy and growth opportunities. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results, performance, or achievements to be material different from those expressed or implied by the forward-looking statements.  Forward-looking statements represent our management's beliefs and assumptions only as of the date made. Information on factors that could affect the outcome of the matters covered by these forward-looking statements is included in our periodic filings with the SEC, including the section titled Risk Factors in the quarterly report on Form 10Q, for the quarter ended March 31st, 2022, filed with the SEC today. Additional information is available on our annual report on the Form 10-K for the year ended December 31, 2021, as well as in the cautionary language included in our earnings press release. In addition, during today's call, we will discuss non-GAAP financial results which are not prepared in accordance with generally accepted accounting principles. The reconciliation between GAAP and non-GAAP financial results is included in our earnings release filed with the SEC and available on our Investor relations website. And now I'd like to call -- turn the call over to Reggie.
Reggie Aggarwal: Thanks, April Seed, and good afternoon, everyone. I'm excited to be here with you today. Now we got off to a great start in 2022, delivering revenue and profitability that were above our guidance. Revenue in the first quarter was $137.4 million, a beat of $3.9 million versus the high end of our guidance. And this droves a beat versus the high end of our guidance on adjusted EBITDA as well. The revenue for our performance was driven by higher on-site revenue associated with greater demand for in-person functionality. Now we expect these trends to continue resulting in a strong growth of 25% in the second quarter. And we're therefore modestly increasing our full-year guidance, which Billy will detail later in the call. For those who are new to our story, here's a quick Cvent overview.  Cvent is a SaaS platform that provides value to event organizers with our event cloud solutions and to event venues and hotels through our hospitality cloud solutions. Our event cloud is used to plan, market, and organize engaging events of all sizes across all event formats, including virtual, in-person and hybrid. And our hospitality cloud offers a marketplace that enables meeting organizers to find and book event space at hotels and unique venues, as well as software solutions that help venues promote and manage their meetings and events business. Fundamentally, our platform helps our customers grow their top line revenue and drive engagement while reducing OpEx and ensuring greater compliance. In our last earnings call, I talked about three drivers fueling our growth for 2022 and beyond. First, the return to in-person events and the accelerating demand for hybrid. Second, new opportunities to measure and grow attending engagement. And third, expansion of our ecosystem. In Q1, these growth drivers continue to fuel our progress across the entire business with both clouds showing strong performance in the quarter. Now before I recap Q1, I want to first share our views on the state of the event and hospitality markets. Never before in Cvent's history has there been such an extended period of time when the world didn't connect, collaborate, socialize, and conduct business at in-person events. This is fundamentally counter to a natural desire for human connection. This is why organizations and attendees are yearning to meet in-person again. We see it and hear it every day, and we believe that pent-up demand for face-to-face interactions will continue to be a tailwind for our business throughout the rest of the year. Now we believe this pent-up demand will help offset macroeconomic pressures that might otherwise dampen a return to in-person and hybrid events. Now looking at our Q1 business in more detail, let me start by walk you through how each growth driver impacted the quarter and how we plan to continue to capitalize on the opportunity in front of us. First, let's start with the return to in-person events. Just to remind everyone, before the pandemic, 95% of our revenue came from in-person technology. We spent 20 years innovating and building a comprehensive platform to power the meetings and events industry. As a global market leader, we powered millions of in-person events, and this was our strength. Then pandemic hit, and over the past two years, we've all been generally meeting virtually. But throughout the year, we've seen a steady increase in in-person events. Now, we see this in both our own data and industry data. According to the NorthStar Cvent industry pulse survey, 66% of event planners are booking or actively sourcing for event space. And based on sales teams’ conversations in Q1, over 80% of conference and trade show planners we surveyed are looking for in-person components within their overall event strategy. But according to the same survey, and what's most encouraging, is that 40% of survey planners now believe they'll will be planning more events in 2023 than they planned pre -COVID. We believe this rising confidence and demand for in-person will continue to rise throughout the year and demand will naturally flow to us due to our inherent strength in in-person event technology. This is because in the new meetings and events landscape, there are more options than ever before for our customers to engage with their customers, prospects, employees, and stakeholders. We call this new landscape the triple threat. Virtual events reach massive audiences in a cost-efficient manner. In-person events are ideal for making deep and personal connections, and hybrid events maximizes the power of both. No matter what our customers budgets, desired engagement levels, or size of their audiences, the Cvent platform can help them meet their event goals. And as a prove point of the triple threat in action, I'm very excited to announce that our net dollar retention increased in Q1 to 109%, 1% above our levels in Q4 of 2019. And as you may recall, it was 84% at the low point of the pandemic. Let me walk you through one of our customer examples that highlights how organizations are leveraging our product to support the total event program, which is leading to that strong net dollar retention I just mentioned. One of the laurel world's leading investment banks spends over $2 million a year on Cvent software. They were an early adopter of the Attendee Hub at the beginning of COVID to support their virtual events. In early Q1, their team recognized that in-person events were quickly returning and they needed the right solution to deliver engaging in-person experiences. So they purchased Cvent's online solutions software modules, and other products, increasing our overall annual recurring revenue from $1.4 million to over $2 million. The bank also increased their investment in Attendee Hub, which they now use as their mobile application and web experience for many of their in-person virtual and hybrid events. This upsells not only a testament to the power of Cvent for in-person events, but the power of Cvent's platform for your total event program. And this is just one example. But we have hundreds of both new and install base customers increase the annual recurring revenue in Q1 by purchasing our on-site solution software. Some of these increases include, an Ivy League school that purchased on-site solutions for the first time since February 2019 for nearly $300,000, a Fortune 500 pharmaceutical company increased their on-site ARR by $229,000, a publicly traded computer software company that increased it by $191,000, and a graduate emissions counsel that increased it by $124,000. I think these examples show that spending on in-person functionality is steadily increasing. We also see continued demand for other parts of our event cloud, including our virtual solution. A Fortune 100 investment bank increased their virtual ARR by 361,000. A large private software company increased their virtual ARR by 169,000. One of the largest U.S. industrial distributors increased their virtual ARR by 162,000. And a Fortune 100 international oil and gas company increased their virtual ARR by 127,000. Now from the hospitality cloud side, the return of in-person events is having a real positive impact on the business. Hospitality cloud revenue also grew 70% year-over-year. This is up from 12% last quarter and represents the largest year-over-year growth for the Hospitality cloud since Q1 of 2020. Now when I ask my sales team why, the number one reason is recovery upsell. As group business starts to come back, hotels want to capture as much as they can, and they are turning to Cvent Hospitality Cloud as a strategic investment. They are using Cvent to advertise and market their event space to meeting planners, then their RFP's. And then they are using our software to manage, analyze, and optimized these RFP leads, so they can close them at a higher rate. Here's an example, there's a new property in Vegas that is slated to open in late 2023. As part of their opening plan, they are investing heavily in Cvent to win event businesses in a very competitive market. They bought almost all of our key Hospitality Cloud modules, such as advertising, diagramming, blue black management, analytics, etc. This is one of the largest deals for individual property in our history. The annual contract value on this deal was almost $500,000. And the total contract value is approaching $2 million. This property was not alone. We had thousands of hotels, convention bureaus, and venues renew and increase their spend with Cvent because our tools are essential to winning group business as planners book events in 2022, '23 and beyond. And those that don't invest in our ever-increasing capabilities may find themselves further behind when it comes to their competitors. Now this demand for Cvent aligns with what we're seeing and what our data is showing on RFP s being sent to hotels for event space. Now overall, we're excited about the potential for our Hospitality Cloud business, as in-person events return. Now moving to our second growth driver, increasing opportunities for event organizers to use Cvent solutions to engage with their attendees across the total event program. Now pre -pandemic, event organizers mostly cared about engaging attendees during the event. With the rise of video, online networking, and virtual event platforms, organizations now have the tools they need to engage with their attendees before, during, and after an event occurs, gaining even more insight into buyer needs. Let me share how we're seeing this play out even within our own events program. At just a few weeks ago, we held our annual user conference, Cvent Connect in Las Vegas. This is a hybrid multi-day, multi-track conference that brings together, thousands of event and hospitality industry professionals, both in-person and virtually to network engage and evolve their meetings and events and hospitality programs. This year was our second year hosting it in a hybrid event format, and we had nearly 40% more in-person attendees than eight months ago, when we held Cvent Connect in August of 2021. Now we leveraged our Attendee Hub to create a seamless experience for in-person and hybrid attendees. Not only did Attendee Hub facilitate interactions between Cvent and our audience during the event. But it served as a focal point of engagement before and after event with pre -event appointment scheduling, attendee to attending networking, pre and post event content, and post event discussions. With Cvent technology powering engagement across our in-person and virtual attendees, we generated a measured nearly 850,000 unique engagement points, such as sessions attended, lead scanned, polls answered, questions asked, content downloaded, and more. We were able to leverage this data and to continue to build these relationships by offering relevant follow-up content and event imitations based on the insights from not just our Cvent Connect Conference, but from our entire event program. Our technology enabled customers to deliver this level of low friction and high engagement across an entire event program. This is making events as the marketing channel even more strategic and make Cvent technology even stickier as organizations use Cvent more often between events, not just during event. Finally, let's talk about our third growth driver. The opportunity to expand our ecosystem. We connect the buyers and suppliers of our physical event space and streamline having finding book event venues. But more goes into an event than just physical space. You also need a technology and other key partners to deliver compelling virtual, in-person hybrid events. At Cvent Connect, we launched the Cvent at Marketplace, which delivered one centralized place for planners and marketers to find complementary technology partners that connect to the Cvent platform, to improve event execution, and deliver greater business impact. We also launched the Cvent Vendor marketplace, built within the Cvent Supplier Network to help planners and vendors and suppliers for all their event needs, such as AV and transportation, for example, whether it's virtual, in-person or hybrid. Now the CSN is now your one-stop shop for all your sourcing needs. Well, we don't expect to see any material revenue impact in 2022 from these products. We believe these marketplaces are going to be a long-term investment to make Cvent and even more embedded into the fabric of the events industry. Our Hospitality Cloud business is fundamentally about monetizing events in the ecosystem. And as we highlighted our customer conference, we've been making investments to make an easier for our venue customers and hotel customers to showcase their event space, and our vendor customers to showcase our event services. Win more business, and collaborate with event professionals to deliver great event experiences. For example, we expand the localization of the Cvent Supplier Network. Planners and suppliers can now communicate with each other in 18 languages. We also announced the launch of photorealistic 3D event spaces on the Cvent Supplier Network to help hotel your showcase the event space by immersive 3D tours. We will continue to invest in our event Cloud and Hospitality Cloud capabilities to deliver the innovations that the marketplace demands to make Cvent the one platform that organizations need to maximize the ROI from events of all shapes and sizes. In summary, we're very pleased with the financial results from our first-quarter, but we're even more excited about our future, with the business that's resilient to potential new COVID variants, and it's positioned well for what we believe is continued strong movement towards the return to in-person events. As we continue to broaden and deepen our platform, we're both further distancing ourselves from the competition and strengthening our mark position as we go after our nearly $30 billion TAM. With all these investments in our unified platform, we're further insulated from macroeconomic pressures and we're well-positioned for a strong 2022. Now, I'll turn it over to our CFO, Billy.
Billy Newman: Thanks, Reggie, and good afternoon, everyone. I'll first walk you through our first quarter of 2022 financial performance, and then discuss our guidance for second quarter and updated guidance for full-year 2022. Total first quarter revenue was a $137.4 million, an increase of 17.1% year-over-year. We beat the high end of our guidance for the quarter by $3.9 million or 2.9%. These were largely driven by higher on-site solutions revenue, as we saw higher than expected demand for in-person functionality in the quarter. Within total revenue, first quarter Event Cloud revenue was $95 million, an increase of 17.1% year-over-year. And first quarter Hospitality Cloud revenue was $42.4 million, an increase of 17.2% year-over-year. Event Cloud growth, is the result of growth across the platform, including Event Management, Attendee Hub, and On-site Solutions. Hospitality Cloud growth is due to hotels ' continued reinvestment in the group portion of their business as in-person events begin to return. This is the second quarter in a row of growth for the Hospitality Cloud, after five COVID-impacted quarters. And as expected, we're seeing an acceleration in the growth rate. Year-over-year growth in the fourth quarter of 2021 was 12.1% compared to the 17.2% we saw this quarter. Now before I move on to expenses, I want to take a minute to discuss our key business metrics as they also point to the trends we're seeing in the business. As Reggie already mentioned, our net dollar retention rate increased to 109% in the first quarter, which is 1% point higher than where this metric was pre - COVID at the end of 2019. We also saw demonstrably increase in the number of customers who contribute more than $100,000 in annual crane revenue. As of March 31, 2022, that number was 840 customers, which is 121 customers higher than a year ago, and is a record for Cvent. The increases we're seeing in these metrics is driven by the lessening impact of COVID in 2021 and 2022 on both the event and hospitality cloud and the adoption of attending up. Note that moving forward, we will not report the number of event Cloud customers who contributed more than 100 -- I'm sorry the number of customers who contribute more than 100,000 in annual Crane revenue on a quarterly basis. We believe that this metric could be misleading when tracked on a sequential quarterly basis, since there could be temporary anomalies quarter-to-quarter. On an annual basis, this will not be an issue. So we'll report this metric as of December 31 each year in the future. We expect this metric will continue to increase each year as a result of our land and expand strategy within our existing clients. Then into discussing the remainder of the income statement, unless otherwise noted, all references to expenses and operating results are on a non-GAAP basis. You can find information on the most directly comparable GAAP metrics in our first-quarter earnings release. non-GAAP gross profit in the quarter was $98.2 million or 71.5% of revenue compared to 75.8% in the same period of the prior year. The year-over-year decline in non-GAAP gross margin, is primarily due to a higher percentage of total revenue in the quarter coming from on-site solutions and merchant services, which have lower margin profiles. Moving down the income statement. Note that the operating expenses -- operating expense increases in the first quarter. I'm about to take you through, reflect both meaningfully lower expenses from COVID, cost-saving measures that were still in place in the 2021 comparison period. And a conscious decision today, to heavily invest, given the massive growth opportunity that we continue to see in 2022 and beyond. Delta marketing expenses increased 30.5%, research and development expenses increased 22.1%, and general and administrative expenses increased 37.3%. The increase in general administrative expenses was also due to new costs related to operating as a public company that did not exist in the first quarter of last year. The main growth driver in each line item was employee expenses as a result of headcount hired to support growth in addition to it's increase as we've seen, an average compensation for employee due to wage inflation. Outside of employee expenses, the other key growth drivers were increased marketing expenses and increased contracted services. Shifting to earnings, adjusted EBITDA was $12.8 million for 9.3% of revenue, which represents a $2.4 million beat in terms of dollars over the high end of our guidance. And a 1.5 percentage point beat in terms of margin. The beat is the result of our $33.9 million revenue beat. Adjusted EBITDA margin is down from 19.3% in the prior year. And that decline in margin is again because of the COVID cost-saving measures that were still in place in 2021 and reflective of the investments we're making for growth. Turning to our balance sheet, we ended the first quarter with cash equivalents in short-term investments of a $193.0 million, an increase of $66.0 million from the end of the fourth quarter of 2021. The increase was driven by strong cash collections in the first quarter, which is seasonally typical due to the high percentage of client contracts that are calendar-year-based and invoiced in the first quarter. Free check -- free cash flow before interest payments on our long-term debt and the change in client cash related to merchant services was $44.7 million for the first quarter, up $3.9 million compared to the first quarter of last year. Deferred revenue at the -- at the end of the first quarter was $287.5 million, an increase of 18% compared to the first quarter of the prior year, due to year-over-year bookings growth driven by the adoption of the Attendee Hub and in-person events beginning to return. But let's turn to guidance for the second quarter, starting with revenue. We expect second-quarter revenue of a $153.2 million to a $154.2 million up 25.1% at the midpoint compared to the second quarter of 2021. This strong revenue growth is driven equally by both Clouds and is powered by in-person events continue into return. There's also a benefit to growth in the quarter related to the timing of our annual client conference. We typically hold the event in the third quarter of each year, but we had the hold it in the second quarter of this year in exchange for being led out of the contract for our 2020 in-person client conference that we switched to virtual. This benefits growth by 3.5% points in the second quarter. But we'll have an equal but opposite effect on the third quarter revenue growth. We shifting to full year revenue guidance as a result of the earlier-than-expected bounce back of in-person events we saw in the first quarter. We are increasing our full-year guidance to $621.4 million to $626.9 million up 20.3% compared to the prior year at the midpoint, and reflects a $1.5 million raise over the midpoint of the guidance we shared in our last Earnings Call in the early month. The $1.5 million raise is less than the $3.9 million quarter B, because the majority of the first quarter B was the result of revenue from events that occurred towards the end of the quarter that we thought will be pushed out to later in the year due to Omicron. This shifted revenue that we expected to realize later in the year forward to the first quarter. The remaining first quarter beat was due to the bounce -- due the bounce back of in-person events occurring sooner than anticipated in late first quarter, as opposed to our original expectation of the second quarter. For the earlier started the bounced back helps the first quarter and the full year, but doesn't have a snowball effect for the remainder of the year. Looking forward to the second half of the year, we expect year-over-year revenue growth in the third and fourth quarters to be relatively consistent after adjusting for the 3.5 percentage point impact related to timing of our client conference that I mentioned previously. This timing item will benefit second-quarter revenue growth, but will have an equal but opposite effect on third-quarter revenue growth. Moving to adjusted EBITDA, we expect second quarter adjusted EBITDA of $15.1 million to $16.1 million representing a 10.1 adjusted EBITDA margin at the midpoint. Now one detail that is key to understanding our adjusted EBITDA margin guidance is the cost of our annual client conference that I just mentioned materially exceed the revenue generated by the event. It's our number 1 marketing initiative, so we believe the net cost for the company is justified. Excluding the revenue and the cost of our client conference from our second-quarter guidance, the midpoint of our adjusted EBITDA margin guidance would be 12.6%, meaning that we're expecting to see. 3.3% points of margin expansion between the first, and second quarters on a normalized basis. Turning to full-year adjusted EBITDA guidance, we're keeping our adjusted EBITDA margin guidance unchanged from our prior guidance of 16.5% to 17.2%, which results in a slight increase to our adjusted EBITDA our guidance in terms of dollars as a result of the increase to our revenue guidance, The $2.4 million first-quarter adjusted EBITDA be, does not fully flow through to the full-year because we're starting to feel an impact on our expenses from the macroeconomic factors that are currently in play, especially wage inflation. Looking forward to the margin expansion, we're forecasting in Q3 and Q4, the step-up in the magnitude of the quarterly expansion and those quarters. As a result of reaching a solid footing from a business perspective up of which we can now springboard in terms of margin expansion. Since the third quarter of 2020 when reintroduced our virtual solution and our adjusted EBITDA margin, Pete, we've been unstated flux from all angles. Extensive technology development related to virtual, a high degree of support to our customers who are learning how to hold events in virtual setting. And lots of friction in the sales process. As we helped our customers determine what's the best solution for them, given an ever-changing environment for in-person events. Now that we have a platform that supports all three event formats, our customers ' event programs are becoming more and more stable and predictable, and planners in general are becoming more confident, in using technology to support in-person, virtual, and hybrid events. We can begin to level off operating expense spend, and start to reap the rewards of the increasing incremental investments we've been making since late 2020, in the form of increased margin expansion through the end of the year. In summary, we're proud of our progress and performance in the first quarter. We're seeing positive signs of recovery in the meetings and events industry. But we're still in the recovery process. Although the uncertainty created by COVID is fading, other macroeconomic factors are beginning to rise. However, and most importantly, as a result of the investments we've made to broaden and deepen our platform to support all event types and formats across the total event program, we believe we're very well-positioned to take our disproportionate share of the nearly $30 billion TAM. Now I'll turn it back over to the Operator for Q&A.
Operator: Thank you. [Operator Instructions] We'll hear first from Arjun Bhatia with William Blair.
Arjun Bhatia: Perfect. Thank you very much and congrats on good first quarter here guys. Reggie, that was really interesting commentary I think on the return of in-person events, and certainly seems like you're expecting that to continue, and we definitely saw a lot of that in Q1. I'm curious as you're navigating from these macro uncertainties and your customers are doing the same, how you think the allocation between in-person events and virtual shifts given the lower cost nature of virtual events while still having somewhat of an impact to reach and engage with customers. Just curious, how you see that pointing out over the remainder of the year.
Reggie Aggarwal: Yeah, yeah. Arjun, thanks. Great question. So look, just every business, every event has its own characteristics so it depends on what they're trying to achieve. The first thing I would say from an allocation, I think what we had put out before was about roughly half are going to be in person and about, I think it was 25%-30% will be virtual. And then the remaining would be hybrid. that's what we had said previously. I don't think it's changed much. I think again, it depends on the goals of the events. But then look, the bigger news of whether that changes a little bit or a lot, it's we use the balloon analogies, squeeze one part of the balloon, the other come through. So let's just say people are focusing on budget cuts because of some of the macroeconomic environments and they may tend to do a little bit more virtual if they're trying to get again more attendees there as I said. So it really depends on what their goals are and what they're seeing in response. But I can tell you to give you a couple of case studies in some, like I recently went to a banking conference and they switched or model from virtual to hybrid then to fully in-person only. And they broke the records of the amount they had in 19th. And so it really depends on environment, we're see in-person comes strongly. People are becoming more frankly, more willing to travel and more willing to go out regardless of the pandemic. We see again, people investing in that in-person because of the pent-up demand and the more leaders that go to in-person, the more they come back and say, I can't say on the conversation of how would people say, I went to this event and my God and I forgot what's in-persons like. We're going to do more in-person for our company because it's just much better than doing it virtually. That depth of that relationship. The engagement level is way more and you get business done more. So I think, look, you're going to see a combination of all. We're prepared for all owe showed, but we do think in person is going to continue to be a tailwind, and we think the mix will probably generally be somewhere where we said. And that's right now what we're seeing, at least in Q1 and what we're already seeing in Q2, but there's always things that can shift that as new variants come out, as things happen with again, the macroeconomic environment. But again, we're prepared for any scenario.
Arjun Bhatia: That's very helpful. And then on the announcements that you made at CONNECT, the one about stuck out a little bit with the vendor marketplace in the Cvent Supplier Network and the ability to have that player across all event types. I'm curious where you are in actually building that out in getting the vendor data, is that something that you have already or that's something that you are still in the process of developing? And then on the monetization aspect, I know you mentioned nothing material in 2022, but curious just how you think about monetizing and how that works from our functional perspective, whether you monetize both sides of that marketplace or just one side from the final perspective?
Reggie Aggarwal: So as I should say, for the first part of the data, we're still gathering it, just a reminder when we built our Cvent Supplier Network, but the venues and hotels we have 290,000. We used our India office to helped build that, and get all that granular data. We have a couple of 100 characteristics for each of those venues, or up to that, I should say. So it's a lot of data we're collecting, we're doing the same thing here. Now the differences were much more evolved when we launched our Cvent Supplier Network that was 12, 13 years ago, we didn't have the scale in the reputation that we have now. So look the way we're gathering that data, is getting at what we're trying to make it as a curated dataset and that curated dataset is that basically vendors that people recommend. I'll just give an example on any supplier. Let's just use something as simple as transportation. You literally can have a hundred organizations that are helping in particular city. What we want to do is get a curated, which is one day have to scale, so they can help certainly our enterprise customers in the more midsize and they just have a reputation to deliver. But it's not just about the big companies. It's also you got a lot of great small ones. And the way you get that as from references and referrals from our customers. And these are people that we know, have strong programs are very particular about who they choose. So we're making that so when they come to our system, they're like it's not just anyone can be there. It's also a little bit of curated and again recommended, but again, we're building that data as we speak. But it's something we've done before and we're really good about turning over walks the find that. Now in terms of the second part, which is how do we monetize. Right now we're doing it ad revenue, just starting right now as you start off the network, it takes a while. And again, I want to stress that we do not expect any material revenue in 2022 from this, it takes a while. We're almost like an a beta right now then you get to more prime time. But even then, it takes a while to build that because you're going after a really fragmented market that hasn't really had this. But as we build it, then we'll go from ad revenue to potentially transaction fields -- fees. And we've -- we know how to build a marketplace. But it does take time to do it. And we definitely have the event planners that are looking forward and the event organizers, and we think it's a great extension of the ecosystem, not just from the long-term monetary, but also just it makes us as that one-stop shop.
Arjun Bhatia: Okay. That's very helpful. Thank you very much.
Reggie Aggarwal: Thanks, Arjun.
Operator: We'll hear next today from Tyler Radke with Citi.
Tyler Radke: Yes, thanks for taking my question. I wanted to ask you about the competitive landscape. Obviously, you talked a lot about the optimism around in-person events, but just have you noticed any changes at your competitors now that there has been more of a focus back to in-person events, and how do you think this helps position you longer-term?
Reggie Aggarwal: Yes. So Tyler, great question. The first thing is, is that - look, as things go back to in-person, as I mentioned in my script, it plays to our strength. For 20 years, we innovated, we put thousand-plus engineers on building in-person technology til the pandemic hit. Now we built a great virtual product, and again, we've integrated. But still, that's our inherent strength comes from the in-person. So as it goes back, it plays to our strength, especially as you compare to other competitors, we had a rise of a lot of virtual competitors that came out. I think many of them are going to struggle because they focused on virtual, and they're struggling to make the pivot. Because I can tell you, building in-person, in our view, is way more complicated and way more difficult than building virtual. Not that virtual wasn't tough to do. But now, when you also build in-person, it has to be again, combined in one platform, which candidly, the complexity grows almost geometrically, as you start putting all these features. That's why for us, when we launched our virtual, it took us probably longer than anyone to launch virtual compared to another company. And I got to be candid, as we talked about it, probably frustrated with my tech team, saying, why is it taking us with the thousand plus engineers, why these small companies putting it out? Because we're integrating with our in-person, because we knew eventually it would come back to hybrid and you'd need all three methodologies. So look, I think, what's going to happen with our competitors, is they're starting to struggle because they can't do the total event program as seamlessly, to do it again, in-person, virtual, hybrid. And as you start doing it, of all event types and big the small internal, external. That's a lot of heavy depth and product you need. And also the service that across the whole platform, that whole, despite all the different iterations that you can have between those between hybrid, and in-person and different event types. And the different modules that you need. I think it's going to be difficult for a lot of people to compete in that and again, get that engagement across the customer journey. But this is where the whole worlds moving towards, they want one platform to do all of this, they want to flexibility. As we go towards in-person look, you can, you never know what happens where they shipped this to a virtual event. And then they need that flexibility of one platform to be able to shift live. And I'll tell you this, there is one conference, the mentioned a bank conference I went to, they changed to three different times. They're changing it literally up to a month before the event because they didn't know it was going to happen. That's why you need that flexibility and that's why we know one platform and the ability to all of them are the right things, but we know that the in-person is going to certainly drive to our strength and having one platform and be able to service that is our other strength. So that's why we feel, it helps our business compared to our competitors. That's for one thing that we feel comfortable about.
Tyler Radke: Great. Thanks for that. And earlier, you talked about the strong outlook for in-person events for next year in 2023, thinking that it could exceed what you saw pre -COVID. I guess two questions there, given that outlook, how are you changing the way that you're investing in the business? I guess is that captured in the increased spending guide? And then secondly, have you started to see any leading indicators in terms of forward multiyear bookings show up that would capture that demand. Thanks.
Billy Newman: So let me just start with the multiyear deal one really quick. Look, during that height of the pandemic, we definitely saw lower multiyear deals because people didn't know what they're going to do with their event program. They didn't know it was virtual, they didn't know in-person and any feel comfortable with any of the methodologies, so they hesitating to invest and have a stable, let's call it event program. As we start getting back to more normalized times, and, and I mean, this is a big and they feel comfortable understanding virtual and in-person. And frankly, I think what people are starting feel comfortable, is that we might -- we're going to have a combination of three and we don't know how is going to play out. But we know we're going to have events because they are, one of the best engagement tools we can with our customers are our employees or stakeholders. So we're starting to see people as they feel more comfortable, than they're going to feel more comfortable signing multiyear deals. We named a bunch of them that we're starting to see, as matter of fact, I'm going to throw one out there. If you remember, during our roadshow, we brought up that association that we said head signed a that group 350,000 year to 3.5 million. Well, last quarter, in Q1, they expanded that relationship and they signed a five-year deal that was almost close to $20 million, which is the biggest Event Cloud deal we've had in history for a total contract value. So that just signed again in Q1. That's an example of people feeling more comfortable with signing multiyear deals because they know that they're going have to do all three and we're prepared to do that. So that was the first question about multiyear deals. In terms of the second question, which is how we changing our investments. So look,
Reggie Aggarwal: we are a little bit changing towards putting a little bit more in person, because we of course, put a lot of our energy in virtual. And now we've got to balance it better, to go back to in-person also. Because since virtual is here to stay, we've got to continue to do it. Now here's a couple of areas that we're doing. So again, our Attendee Hub, again to remind everyone, originally, when we first launched, it was just for virtual. Then now, it's for engagement, for all types of events, whether it's in-person, virtual or hybrid. And because it includes our virtual, it includes our virtual mobile app, includes all our engagement features, and of course, it's the virtual, so kind of a combination of all three. So we're continuing to invest in Attendee Hub. On arrival, we're investing a lot, in which is our on-site tools, because we are seeing a bigger demand for that. And then look, video as a core competency is still something that we're continuing to invest in heavily, because look, it's a new engagement driver for all types of events. And look, it's here to stay, and things like we're reinventing our webinar strategy, for example, reinventing webinars in general. And virtual is still here, there's so much more work to do because it's still a new area that needs a lot of investment. And again, some of the other areas we're excited about is year-round engagement. And again, because the Cvent video center is kind of in the middle of that, because engagement used to be just during the event, now it's again, before the event, and after the event. And some of these new ecosystems, things that I mentioned in our script. So look, there's a lot of areas were continuing to invest. There's a lot of innovation going on. But I would say, that with the fundamental thing, if I'd had to put it down, it’s investing because all three of those models, we call the triple threat. They all need investment, but a little bit more towards in-person right now. Just because that is an area that we need to put some more because the whole in-person experience, is digitizing. So it's not just back to the old way of doing business. It's certainly that's part of it, but it's also digitizing more and people more open to it. And that's exciting because again, event technology is at the center of it and we believe with our one platform, we're really well-positioned compared to our competitors.
Tyler Radke: Thanks for all the details.
Reggie Aggarwal: Thanks for the question.
Operator: We move onto David Hynes with Canaccord.
David Hynes: Hey, hey guys. Thanks for taking the question and appreciate all the color on the call. Reggie, I'm curious if people are showing out better event at the rate that you expect, in other words, is the ratio of actual in-person attendance relative to in-person registrations any different than what you saw pre -COVID and I guess if there's any difference, is there anything to read into what that might mean for the business? I know customers pay based on registration, so maybe it's not relevant, but thinking about renewal dynamics and anything else that, that could impact?
Reggie Aggarwal: Yeah, so actually, what I would tell you, that strong trend of how people are showing up, even though it varies, is absolutely a strong signal for renewals. And I'll tell you why? because you are seeing less in-person people because we're still not up to where we were pre -COVID. So let me just give an example. If I'd pick a number, I would say that your average conferences seeing somewhere between 40% to 60% of the attendance or 65% of attendants that they saw pre -COVID. So think of it, just give you a rough idea. You have certainly conferences like I'll say that, and we refer back to that conference that went to the bank conference, they had more attendance in their 19 because they made a decision not to make it hybrid, but just said everyone's got to come in person. And so that's sometimes forces people's hands to not do virtual course and come in-person. So you have that strategy. But generally speaking, if it depends on your conference, what your goal is, but let's say take our customer conference. Right? In total, we had around let's call it 10,000. Okay? If you look pre - Covid, we were a little above 4,000, like 4,300 I think. So we got 2.5 times more than what we had previously, but it was a different mix. We had about let's just call 50 -- a little over 50% of what we had; I think it's 55% of what we had in 19 were in-person. But that's okay because we got all those virtual and in the end, if you ask our CMO, Patrick, Patrick would tell you, I like the hybrid model more because you can leverage all our assets, like my speech gets in front of instead of 40 -- 4000 -- 4300, it gets in front of more. And then that just actual during the event than you have of the after digital engagement. So I think in the end what you're seeing is, is that in-person events are certainly not up to the where they were in 20 -- I mean, in pre - COVID, but they are growing every week in month because of two reasons, people more comfortable traveling, I'm going to say three reasons, second of all, psychologically, people are getting more comfortable. It's not even just health, some people just have a tough time going in the office in person even though it's not of concern with their health, it's just psychologically getting over it and engaging with people again. And the third one of course, is budgets. Just in general, some people didn't model maybe as much in the budgets to go to stuff because they didn't know how it was going to play out in the beginning of the year. And if you think back in November, December, January when people were finalizing budgets, we didn't know how COVID was going to -- with the Omicron variant and how it's going to go. So I think as you get to more normalization, which is the back half of the year. And then of course in 2023, I think that you're going to see more normalized. So in terms of how that impacts the business, again, it really -- it really doesn't. Because in the end, again, the balloon, whether they come in person or virtual, it doesn't matter. Ais a, an attendee -- or if that counts as attendee and there's a no-show, we still get paid. Now and again. So from a registration view, we're seeing more registrations generally with let's say you take a mid to large conference. We're seeing more attendees and whether they shop or not we get paid the same amount basically. And then again, it's all these are leads and that's why people want to capture that. So if I don't show up, but I register for conference, the organization want to know that you registered and still collect the information from you. And again, some of those people generally don't shop the in-person, they tend to engage virtually if you have a virtual component. So that's why from us it doesn't really matter. There's value-added either way.
David Hynes: Okay. Got it. And then Billy just a follow-up for you on the numbers. So moving parts to guidance, I think you walked through pretty clearly on the call, but the net of it to me seems like revenue pulled forward the profit guidance became a little bit more back-end loaded. Right. Can you just help me understand that dynamic and why we shouldn't notionally think that that might add some risk to how the year plays out?
Billy Newman: Yes. There was some revenue that pulled forward because some the events we thought we're going to push from the first quarter due to Omicron actually ended up happening in the first quarter, which is good. And we also saw a bounce back. That begin for in-person events sooner than what we'd originally thought started happening in late first quarter as opposed to second-quarter, so that the pulling forward obviously doesn't impact and full year, the bounce-back does obviously impact benefits Q1 and the full-year, but you don't see that sort of snowball effect and that's why you don't see the 3.9 turning into like a much larger raise the full year. In terms of a change in terms of the backfilling profitability? I wouldn't say there was really a change there. We always knew that there is going to be lower profitability starting off the year because as we talked about in the first quarter, we always have more costs, especially employment related costs in the first quarter gross margin down. The second quarter increase was not as quite as large because you have the client conference that pulls down the margin in the quarter. But if you back that out and normalize the margin expansion, we did see a 3.3 percentage point margin expansion there. But you do see that margin expansion quarter-to-quarter is going to increase, going into third quarter, and then again in the fourth quarter, is going to increase even more. Because, as I mentioned in my comments, we've gotten to more of a level ground, so to speak. But we're still in a recovery phase, but we are starting to see that, as Reggie mentioned, we've got the solution out there that can support all three types of formats of events. So irrespective of where the pop goes here, we feel good there. We've got a customer base, they've got an event program now, they feel more comfortable in terms of trying to predict how it's going to play out, and so they can commit more now. And you just have a customer base, that's just more comfortable using technology, especially from a virtual and hybrid perspective. And so we're not going to have to spend as much, and we really, incrementally spend more on sales. We're not going to spend incrementally more on R&D, customer support and all of the above. You name it. And so that's what's going to allow us to - look, we're still going to invest, don't get me wrong. It's not like you're going to see a hockey stick of margins going up from where we are, from an annual perspective. That's why we didn't increase - our full-year margin did not change. But yes, that's really it. But again, our expectations, we knew that was happening, right? Maybe we just didn't do it. I didn't do a good enough job of articulating that to you guys on the last quarter's call.
David Hynes: No. But that's super wonderful color.
Reggie Aggarwal: Just give you one example. Like, for example, in sales, there's less friction. Now because people are educated, imagine a year ago when you were doing the sales, they were still like virtual. There's still getting used to that. Know what was going to be in person. They were just assisted new paradigm. So it just the sales cycle took longer. And then, and more importantly to educate them took a lot longer. You get a handhold them more. So those were just some examples in one area that we're going to see some sort ability to leverage a little more. You can get a little bit more efficient.
David Hynes: Makes sense. Okay, guys, I appreciate the color.
Operator: We'll hear now from Scott Berg with Needham.
Michael Rackers: Hi everybody, this is Michael Rackers. I'm on for Scott today. Could you give us maybe a little bit more color on your recent products innovation and announcements within the Hospitality Cloud. Maybe what's your more excited about longer-term and then with near-term return to in-person events. Thank you.
Reggie Aggarwal: Yeah. So look, there's a lot of things we're doing on the Hospitality Cloud and thanks for asking because we tend to focus on the Event a lot. Look, first thing is group is coming back. So you're seeing a digitization of group sales in general. So some of the things when we talk about one year, remember that hotels are struggling to hire people. My understanding is, is that there's 20,000 open positions for hotel salespeople, as an example. The most they've ever been in almost -- probably I'm going to say in history is my understanding. And so just that means they're high reliance on technology and hopefully on Cvent for the group business. So that's give you a framework. Now, look in terms of -- and some things that we're doing we're, first of all, we're trying to fundamentally engage the media planner more.  So they're using our tool to source. Because where the honey is, the bees will come, and again, the honey is the meeting planners and the bees of course, are the hotels. So first doing things like, for example, getting more sourcing volume by doing photorealistic 3D. That's really going to be something really going to help us, because by making that experience better when you're in a planner, you're able to really see the venue without visiting it and get a better sensors and venues might -- you might not say, I'm not going visit but when you see the 3D photorealistic, and I can you know what that's maybe a venue I want to consider.  And you have more content, engaging content, they're going to come more. The vendor marketplace we think over time will of course, continued increase it by getting them say, I can find other service providers. But some of the other areas that we're really investing is making our Cvent Supplier Network the UI much more friendly. And then we're also doing things to help increase conversion. So for example, for the hotel salespeople, what we're doing is, we're letting do what we call smart custom proposals. So when they do a proposal, remember, literally millions of RFP responses are given out by hotels, millions in a year. So as they get a proposal and they want to do a really nice proposals that can differentiate them from their competitive hotels that we have a smart custom proposal out there that makes it easier for them to do it, make it looks nice for them that them doing it. Typically, I don't want call manual because it using the Cvent system to respond, but with the customer proposal makes the response better. And things that we're integrating into the change more so it's more seamless in our CSN, our room black management and again, our event diagramming. And we're also doing things like automating responses because they have less salespeople, so we're helping them with less salespeople to find the right leads and to respond and quicker. And again, as I mentioned, with better proposals and faster. So these are some of the things that we're doing in terms of product innovations because we're looking what the hotels are asking for. And we know what the problem is not having up people and automate more. And we know what the event planners are looking for, which is digitizing that experience more. So they don't have to interact with sales people until they have a better idea of what they really want. So that's some of the innovations that we're doing, and we're excited about how would in-person comes back that of course hits the Hospitality Cloud more than anything because you need that in-person to drive that business.
Michael Rackers: Great. Thank you. That was super helpful. Maybe one more quick one before we run out of time here. But how the event mix has shifted between hybrid, in-person and virtual. Have there been any shifts in your go-to-market strategy, or I guess how are you taking advantage of that from a go-to-market perspective?
Reggie Aggarwal: Of the go-to-market hasn't changed tremendously to their go-to-market strategy has now been well over a year, I could say, or maybe not well over a year, but is the total event program and with a total event program, again, we know that you need some in-person virtual and don't forget what you're planning and in-person events, you're not planning at three or four months in advance. So in 2021 year already thinking what's my '22 events going to look like? I'm assuming the pandemic will lessen and therefore I needed so mentally, people have been there in 2021, at least a lot of our customers, if you can get 2020 is all virtual, virtual, virtual, maybe the first quarter was all virtual, virtual, but you started getting into '21 later on they're thinking, my big conference in '22, which they're probably negotiating and contracting what they already have with a venue they're making that decision. So because of that, we've been pushing all three and say we can help you in all three and that's basically what our go-to-market strategy has been for well over 12 months. So I don't think there's a huge shift except, there's less friction as we said, because people are now comfortable virtual. They see in-person coming back and they have confidence in their program. And because of that, are more willing to commit. And they're also seeing that sometimes it's hard to find venues right now, because everyone is jamming the backlog in right now. So that's like we better get all our services, our technology, get everything lined up. And again, with our competition, there point solutions that can support the total event program, which positions us well. But our go-to-market strategy is pretty consistent, and we are a little bit pushing our strength in in-person. In particular that our virtual only competitors who were kind of the cats meow in 2020 and the beginning of the first half of '21. Now I think that's showing the weakness. So in the end, we're doing things like our in-person lunches, where we used to do our product seminars. We've talked about that for years. We did hundreds of those a year, but just that that in-person lunch-and-learn. Trade shows, we're going to a 125 of them ourselves, because trade shows are blossoming and we're seeing tons of trade shows where you're getting - yeah, one trade show that's coming up. Hopefully, I'm going to be able to make it in Europe, it's one of the biggest ones of the industry. I think they have 12,000 people, or 10,000 people coming to it globally. So you're starting to see that come back. So we'll have a little bit of that more in our budget, which we did, but we love that, because of course, in-person events is something we love to see because that certainly helps our business.
Michael Rackers: Great. Thank you.
Operator: And in the interest of time - I'm sorry. Go ahead?
Reggie Aggarwal: I think we had one last caller or analyst to cover?
Operator: Of course, that will be from Morgan Stanley's Josh Baer.
Josh Baer: Great. Thank you for the question. You mentioned several virtual ARR expansions. I'm just hoping to understand a little bit more about that. How big is virtual ARR, and how are you thinking about the durability of the virtual expansions over time?
Reggie Aggarwal: And Josh, good question. I mean, look, virtual it's like a balloon. So as virtual may go down in some where you might have a virtual event. And then now it's becoming person or hybrid. So you're getting more on that side. But I think virtual is definitely global. It's here to stay. It's definitely a core part of everyone's total event program because you might want to do it for cost effective sake, engage in audience that are far away, could be just a two hour or four hour event where people aren't going to fly in, which creates new used cases of events. And again, this year-round engagement with is an exciting thing where you can engage them again, not just during event, but in-person and virtual, so it's always going to be a critical part of events. And this is really what increased our TAM because what's making CMOs think about and CEOs is that all of a sudden they have a tool for any way they want to engage with all those stakeholders. But can be more cost-effective or let's or I should say I think in-person across effective, but it's a more of investments, but you get that in-depth relationships. So I think all of them are going to be around and you want that flexibility and the customers don't even necessarily know the mix. I can tell you us as a company that there's lots of events. We're still working through our mix and just kind of say, we'll just see how it goes even though we put our, like for example, next year or customer conference and we have it. We're assuming we're going to we're going to continue to grow the in-person of the goals to grow both the in-person and the virtual. And so I think virtual IRR can range from just $5,000 a year for a customer, it can range to $1.5 million a year. But I think it's going to continue to be a core part. But I think the emphasis on it is a little less. Because right now, just the way things in life happen, you had all in-person, then it went all virtual. Now all of a sudden, it's like we had an index on in-person, but it's going to end up being a balance. And again, where there for that balance. And look, just as we wrap up, I think our opportunity now is big because return in-person plays to our strength and it plays to the one platform, and the company is going to do all three. And that includes virtual, of course. And then the other thing is, a new way to engage attendees virtual through video, and then this whole thing about expanding or ecosystem. I think all those things all play towards where we're hopefully headed. But if it's not, then we're there where the balloon - whenever you want to squeeze it. We're there for that customer and for the whole ecosystem.
Operator: And we do have time for one or two more questions. We'll hear from Credit Suisse 's Fred Lee.
Reggie Aggarwal: Okay.
Fred Lee: Hi, guys. Very nice start to the year. And that comes from a little bit, looks like things are getting back on track. NDRR expanded dramatically in the quarter. I was wondering if you could talk a little bit about the key drivers behind that. And whether you think this is a sustainable trend based on your current knowledge.
Reggie Aggarwal: Fred, I apologize. You said our NDRR, right? You broke up a little bit there.
Fred Lee: Yes. NDRR. Exactly.
Billy Newman: Okay. Good. Just want to make sure we're talking about the thing. Look, I think when we talked about the increases for NDRR in the past few periods has been very Event Cloud - centric because the Hospitality Cloud was lagging from recovery perspective relative to the Event Cloud. But we're starting to see with the return of in-person events, we are starting to see our hotel customers starting to reinvest in their groups part of their business. And so we are starting to see that -- we didn't -- don't get me wrong. We saw a nice pickup in NDRR for the Event Cloud as we've been seeing for several quarters now. But we definitely saw a larger than usual step-up in the Hospitality Cloud there effectively, call it three to four quarters where the Event Cloud -- behind where the Event Cloud was. So it's -- across the board, it's more the same in terms of -- in the Event Cloud, we continue to see good adoption of the Attendee Hub. We're seeing the stand increasing or multiplying at our events there or at our clients there as opposed to being cannibalized. It's definitely increasing spend there. As in-person events begin to return, we're seeing increasing stand on on-site as well, but we're still holding on to -- don't get me wrong. There are going to be times where those are going to be less than our Attendee Hub, but it's more than being offset by the higher spend on the onsite side. So that continues to be down on the Hospitality Cloud side. We're seeing that as, Reggie mentioned, the bounce-back recovery, where we're getting the recovery spend from those hotel clients to start to increase more span on the group business side. But look, I think longer-term, we had spoken about approaching or being around a 115% from a net dollar retention rate perspective, and that's longer-term, don't think this year. But that's all going to come from - our client is going to want one source of truth, one platform for where they go, because things can be really complicated. They're going to want things centralized in one place, and our platforms can be the platform where they can do that.
Reggie Aggarwal: Yeah. Just one comment. Again, we had 108 was what we did at peak in 2019 or actually take peak just in 2019, that sort of was, and so we're excited about how we started to get back to basically where we were in 2019. The one thing I just want tell you through strategic - why this is important, is a little bit as Billy mentioned, is one platform. And now people, as they have to do all three types of events, they're going to buy more of our modules, and be more likely to buy our full platform, because they have to be prepared to do all three. And that's really the strategic reason why we're excited about NDRR going up because it plays again to our thesis, that one platform that has to do all three different models. And so therefore, you need more modules, and you're more likely in the long term to stick with us, the more modules that you get. That just makes it stickier, and because you've invested more into the business.
Operator: And our final question today will be from John Roy with Water Tower Research.
John Roy: Great, thanks, Reggie, to sum up, what is driving your confidence in the rest of the year? Obviously, there's some interesting things in the macro environment. So what is really driving it for the rest of the year for you?
Reggie Aggarwal: Yes John. Good question. So look, what I'm going to give is a quick history. Don't forget about our beat and raise history. So when we say something, we've had a great record when we're public before. We had 11 straight quarters of beat and raise. I look at the way we looked at our confidence in our financials. Just think where we were in April Seed of 2021 and all the changes in the market. I mean, look, even though we weren't public per se, we put out our numbers to the public market back at the end of April Seed or May. And so, our track record has been in my view, Q2 of 2021, Q3 of '21, Q4, of course and now this quarter. So we've already started to hopefully establish a track record. Many of the investors that have been following us since we put out our public numbers in Q2 of '21. So we have that track record. I would say, in the end, I think we went through that difficult time, which was in our view, a much more difficult time than we've ever had ever in terms of projecting. I think that that they could just tell you how we look at things. And the reason that we're confident in the future is just simple. We have gone through some tough times, things are coming back to our strength, people are feeling more comfortable with all three methodologies, or all three formats, and we can service all of them. And that look, we have an experienced management team that's weathered the storm. We've shown that we can predict things even though it's a pretty difficult environment. We do have our low costs, our efficiency in terms of our people with having a strong presence, and the way we're able to work with our whole team. And finally, I think companies are really believing the power of live engagement through Events. They're really seeing how Events might be their number one or number two way of reaching their customers or their employees. And it's really a channel that delivers. And I think now as they're getting used to it and seeing it compared to other channels, that they'll continue to invest and they're going want one -- one platform. And we believe as we get more and more integrated, people are going to realize that it just makes sense to put everything on one place if you can. But this is something now that you need a software, you can't do it with your back-end technology, your IT department, or use point solutions, or use other software as that in to do events like a lot of universities do, associations do. And I think all that leads to helping us with our solution. And look, we still have a--we're still not out of the pandemic, we still have different variants. We have some macroeconomic with all that, but still we're positioned well and we feel comfortable where we are. So with that, I think that was the last question. We appreciate everyone joining our call. And thank you all very much.
Operator: And again, that does conclude this Cvent First Quarter 2022 Earnings Conference Call. Thank you all for joining us. You may now disconnect.